Operator: Good morning and welcome to BrightView's 2019 Fourth Quarter and Full Fiscal Year Earnings Conference Call. As a reminder, this call is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] The earnings press release is available on the company’s website, investor.brightview.com. Additionally, the online webcast includes the presentation slides that will be referenced as part of today's discussion and a downloadable copy is also available online.  I will now turn the call over to Dan Schleiniger, BrightView's Vice President of Investor Relations. Please go ahead.
Dan Schleiniger: Thank you, Lindsey and good morning everyone. I'm joined on today's call by Andrew Masterman, our Chief Executive Officer and John Feenan our Chief Financial Officer. Before we begin, I want to remind listeners that some of the comments made today including responses to questions and information reflected in the presentation slides will be forward-looking and actual results may differ materially from those projected. Please refer to the company's recent SEC filings for more detail on the risks and uncertainties that could impact the company's future operating results and financial condition. Our comments today will also include a discussion of certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures and other associated disclosures are contained in the earnings release on the company's website. Disclaimers on forward-looking statements and non-GAAP financial measures apply both to today's prepared remarks as well as the Q&A. This does and will include references to the performance of the underlying commercial landscaping revenue within our Maintenance Services segment. We believe that this measure, which we also refer to as organic revenue provides a more complete understanding of the factors and trends affecting the business. Finally, unless otherwise stated all references to quarterly or annual results or periods refer to our fiscal years ending September 30th in each respective year. Today, we are presenting the unaudited results for the three-month period and the audited results for the 12 months ended September 30th, 2019. With that, I'll turn the call over to BrightView's CEO, Andrew Masterman, who will provide an overview of our recent results, business strategy, and future outlook.
Andrew Masterman: Thanks Dan. Good morning everyone and thank you for joining us today. Turning to our executive summary on slide 4, today we are reporting results for the fourth quarter as well as for the full year fiscal 2019. Total revenue grew 7.4% in the quarter versus the prior year period underpinned by positive organic growth in both of our operating segments. This important measure in our Maintenance segment improved sequentially throughout the year turning positive in the third and fourth fiscal quarters. Revenue in the quarter also benefited from our strong-on-strong M&A strategy, which continues to be a reliable and sustainable source of revenue growth for our company. Additionally, as expected, the Development Segment Services -- Services segment delivered record quarterly revenues demonstrating the robustness of its backlog which is showing no signs of slowing down as we head into 2020. This healthy topline performance combined with lower corporate expenses drove a 9.1% increase in total adjusted EBITDA and a 20 basis point margin expansion versus the prior year quarter. While this performance reflects a solid finish to the year, I recognize that these are not the results that we expected to deliver for the full-year 2019. But as we look forward, we remain confident in the opportunities that lie ahead and are working hard to capture those opportunities and generate value for all of our stakeholders. The fundamentals of our business are strong and the initiatives that we have been telling you about over the last few quarters to build our teams, train our people, and invest in technology are starting to deliver the results that are envisioned. An early sign of this is the return to positive organic growth in Maintenance Services that I just mentioned. Perhaps more importantly, our initiatives are forming the base off of which we expect to generate sustainable profitable growth for many years to come. Today, we will also provide you with financial guidance for fiscal 2020. John will take you through the details and some of our underlying assumptions, which reflect our confidence in the industry's future prospects and our ability to capitalize on that to deliver solid topline growth, improved profitability, and a strong cash flow generation this year. Turning now to our 2019 fourth quarter results on slide 5, total revenue grew 7.4% in the quarter with both the Maintenance and Development segments delivering strong results. Fourth quarter revenue in the Maintenance segment grew 5.1% versus last year. This result included organic growth of 1.9%, which was driven almost equally across contract enhancement and national account revenue growth. Precipitation levels in the fourth quarter returned to their historical averages supporting an important rebound enhancement revenue in the fourth quarter. This helped drive organic revenue growth of $8.3 million more than offsetting the $6.2 million revenue impact for managed exits. Realized M&A revenue contributed another $19.9 million in the quarter. As I mentioned earlier, the Development segment maintained its strong growth momentum rounding out 2019 with its highest ever quarterly revenue total. Revenues were up 14% versus the prior year quarter despite some weather-related delays and a challenging comparison with last year's larger projects. As we sit here today, our scheduled workload for the first quarter should support another strong result and the backlog for the balance of fiscal 2020 remains robust. Recapping our full year revenue results on slide 6, total revenues were just over $2.4 billion, up 2.2% for the year end in line with the low end of our guidance. Revenue in the Maintenance segment grew 2.2% in line with the total company and our underlying commercial landscaping revenue was up $8.6 million versus the prior year contributing organic growth of 0.6% to the segment's full year result. The organic result was driven by higher base maintenance contract revenue which benefited from the net new sales that we talked about at the beginning of the year and a focused effort on capturing price increases or holding retention steady at about 85%. Our Golf business also contributed to the segment revenue growth for the year. And after a tough start in the first quarter, our national accounts business ended the year with three consecutive quarters of revenue growth. Enhancement revenue was challenged for the year principally as a result of unusual weather patterns in the first three quarters of the year. In line with the figure we provided on our last call, realized revenue from Maintenance acquisitions reached $91.8 million for the full year adding 5.2% growth in the segment. This together with the organic growth in the segment more than offset the lack of hurricane revenue in 2019, lower revenue from snow removal services, and the impact of our strategic managed exits initiative. Revenue growth in our Development segment was also in line with the total company, up 2.1% versus the prior year. Growth was fueled about equally between the organic growth of 2019's workload and revenue contributions from the Maintenance acquisitions. We achieved the low end of our long-term organic revenue growth projection for the Development segment, despite the year's challenging weather conditions and a difficult comparison with the large projects that we concluded in 2018. As we'll probably mentioned a few more times on today's call, the backlog in our Development segment is as strong as it's ever been. And importantly, broad-based demand remained strong across our main markets. We expect this positive environment to continue fueling our long-term outlook for growth in the Development business. Staying on the topic of organic growth slide 7 shows the positive trend in our Maintenance segment that I mentioned earlier. The sequential quarterly improvement in 2019 is a testament to the foundation we began laying in 2017 with a return to a decentralized and local sales team. We expect to continue to build on this trend in 2020 with stronger growth occurring during the second half of the year as is usually the case when our entire maintenance operation is in full swing. We understand the importance of delivering consistent results in the short term, but we believe that the best way to look at our industry and our business as a whole is over the long term. On slide 8, you can see that we are expecting to deliver about 3.7% compounded annual growth in total company revenues from 2016 through 2020. This compares with the latest IBIS estimates of 2.2% compounded annual growth for the U.S. commercial landscaping and snow removal industry over the same period. In other words, we expect to grow with almost double the rate of the broader industry by taking a multi-pronged approach to generating revenue across both organic expansion and disciplined M&A. On our last call I went into detail talking about the important investments we've been making. I won't spend as much time on this topic today, but on slide 9, I did want to provide you with an update of these initiatives. We have completed the rollout of electronic time capture in our Development segment. The first phase of the implementation of the Salesforce CRM software to our account managers and other customer-facing team members has also been successfully completed. Both the HOA Connect and BV Connect portals continue to receive favorable reviews from our customers as they recognize the ease with which they can communicate with us using these digital channels. And finally, our decentralized sales team has grown from 160 to over 180 members, as of the end of the fiscal year; all of them working directly with our branch-level leaders to locally source and validate new business opportunities in our high-touch industry. As we look back on our Strong-on-Strong M&A strategy over the last three years on slide 10, we thought it would be helpful to take you through a brief case study of our largest acquisition to-date; The Groundskeeper in Arizona and Texas. We completed the transaction in May 2018, acquiring about $68 million in annualized revenue. The Groundskeeper also added 1,000 team members across 13 branches to BrightView's operations. As is the case with all of our acquisitions, we continue working with the team on the integration of their business into BrightView and we are pleased with the results so far. We have consolidated the operation down to 9 branches all of which are now on the same Oracle Enterprise One ERP system, as the rest of BrightView. All employees are now in our payroll system and enjoying BrightView's benefits package. We have also completed the rebranding of all major equipment and we are currently implementing our ETC labor management tool in the business. From a profitability perspective 2019 adjusted EBITDA in the Maintenance business was up around 25% compared to pre-acquisition levels. As a result of our focus on driving efficiencies and generating cost leverage, adjusted EBITDA margin has expanded by about 300 basis points over the same period. We still have work to do, but as I have just described we have made good progress with this large and complex integration. In other words, our M&A strategy has been a sustainable, successful and impactful source of revenue growth for the last three years. And importantly, our M&A pipeline remains as robust as ever. In fact today, we are announcing the addition of two more talented teams along with their attractive customer portfolios. Heaviland landscape management in San Diego and Clean Cut landscape management in the Greater Phoenix area. These transactions strengthen our presence in two important evergreen markets. We are excited to welcome Tom Heaviland and his entire team of 150 skilled landscapers to the BrightView family. Tom along with his senior leaders will remain with the business. We are also proud to welcome the 110 members of the Clean Cut team to BrightView. Over the coming months and years we will work with John Nation along with other senior managers from his organization, leveraging their talents to consolidate our strong position in the Greater Phoenix market, especially in the HOA vertical. We plan to continue taking advantage of attractive opportunities such as the ones I just described to consolidate our fragment industry driving profitable long-term revenue growth for BrightView. I'll now turn it over to John who will discuss our financial performance in greater detail.
John Feenan: Thanks, Andrew, and good morning to everyone. Let me start with a snapshot of our fourth quarter results on slide 12. As you've already heard total revenue for the company was up in the quarter on the back of good organic growth in the Maintenance segment, a strong book of business in the Development segment and the continued revenue contribution from our M&A activities. Our adjusted EBITDA totaled $91.9 million, up 9.1% versus the prior year with a 20 basis point improvement in margin to 14.7%. At the consolidated level this was a solid quarter for BrightView. While a strong result versus the prior year, this is not the EBITDA performance that we expected to deliver. As a result, we've taken actions that impacted our 2019 numbers and have implemented a few changes to drive better results in fiscal 2020. We are squarely focused on continuing to generate efficiencies in our business, keeping the customer at the center of everything we do, while promoting a culture of accountability across the organization. Turning to the details on slide 13. The Maintenance segment's adjusted EBITDA declined by 3%, which led to 140 basis point margin contraction versus the prior-year quarter in this segment. This decline in profitability was driven primarily by lower enhancement services margins and to a lesser degree by a lower margin mix from recent acquisitions. Work on enhancements, experienced weather-related delays and inefficiencies that carried over from the third quarter in many of our markets. Additionally, our Florida and Southeast regions faced delays and cancellations related to the threat of Hurricane Dorian. They also incurred expenses associated with preparing to provide storm recovery services that in the end were not needed due to Dorian's unexpected turn to the North. These factors led the margin compression driven by the higher labor costs needed to complete or in some cases redo those enhancement projects to ensure our customer satisfaction. Profitability in the Development segment grew in line with revenue with adjusted EBITDA up 14.1% versus the prior-year quarter. As a result, the segment's margin was flat in the period. Since we did not achieve our full-year targets for profitability and cash flow, we significantly reduced variable compensation compared with 2018 in both operating segments as well as for our corporate staff. Additionally, during the quarter, we implemented several initiatives to reduce corporate expenses and also incurred lower professional fees versus the prior year. As a result, corporate expenses were $6.8 million lower versus the prior-year quarter and represented 1.9% of revenue, down 130 basis points as a percentage of revenue. Looking at our full-year financial results on slide 14, total revenue came in at the low end of our guidance for the year with a strong contribution from our acquisitions as well as a positive result in our underlying commercial landscaping business. Despite facing significant weather-related challenges throughout the year, we were able to overcome the headwinds that we identified in our guidance, specifically the comparison with hurricane cleanup revenue in 2018, the elimination of lower margin revenue through our strategic managed exits initiative and the year-over-year decline in snow removal revenue due to lower snowfall. Taking a longer-term view on slide 15, we have generated a healthy level of adjusted EBITDA growth of around 6% compounded annually since 2016, outpacing revenue growth and delivering average annual margin expansion of about 30 basis points from 2016 to 2019. Assuming a return to long-term averages for both snowfall and precipitation and by capturing additional efficiencies in our business, we believe that we can maintain this pace of growth in fiscal 2020. Let's take a look at our capital expenditures and capital allocation on slide 16. Net capital for the full-year 2019 was $83.1 million, ending the year at 3.5% of revenues. This figure came in higher as compared with our longer-term guidance of 2.5% of revenues due to a number of factors. First, we increased equipment spending this year to support future growth in our existing businesses, including golf and three investments that we mentioned on our last call; we made some opportunistic real estate investments in markets with strong long-term growth prospects; we invested in developing and deploying technologies to support our people and improve the experience offered to our customers. We also completed some of our recent acquisitions at attractive levels, in part, because they required certain capital expenditures to be up to BrightView's standards. Based on the progress we made in these integrations, during the fourth quarter we decided to pull ahead some of the investments that we had originally planned for early fiscal 2020. And finally, also during the fourth quarter, we decided to invest in additional snow equipment to support a planned increase in self-performance of snow removal services, which will reduce our usage of subcontractors in this part of the business. In terms of our financial debt, as of the end of fiscal 2019, we lowered our net debt versus the prior year-end while continuing to execute on our strong-on-strong M&A strategy. Our 2019 year-end leverage ratio was 3.7 times, down from 3.8 times at the end of fiscal 2018. With our adjusted EBITDA guidance range and improved cash generation, we expect our leverage ratio to be at or below 3.5 times by the end of fiscal 2020. Turning now to slide 17. Over the last several years, we've taken a disciplined approach to free cash flow generation and delivered significant free cash flow growth. We took a step back in 2019 due to three main factors. First, the shortfall in our adjusted EBITDA versus the low end of our guidance. Second, the higher than planned capital expenditures that I just described. And third, an increase in accounts receivable, primarily due to the strong second half revenue growth in our Development segment. Collections in this segment are subject to the construction industry's paid-when-paid dynamic between general contractors and subcontractors like ourselves. In other words we expect free cash flow to resume its long-term growth profile in fiscal 2020, driven by better cash from operations as a result of adjusted EBITDA growth and a reduction in accounts receivable, together with lower net capital expenditures versus the prior year. I should mention that our capital allocation priorities remain the same, namely executing our strong-on-strong M&A strategy and reducing our financial leverage. Before I turn the call back over to Andrew, let me review all of the elements of guidance that we mentioned today. On slide 18, you see that we are expecting total revenue between $2.465 billion and $2.525 billion, adjusted EBITDA between $312 million and $320 million and net capital expenditures between 2.5% and 3% of revenues. Our assumptions are for the Maintenance segment to grow organically between 1% and 3%, the Development segment to grow between 1% and 2% and acquisitions to deliver at least $60 million in realized revenue including about $30 million of wraparound from 2019. Our guidance range for adjusted EBITDA margins contemplate average to negative snow removal in 2020. With that said, we will continue to target our long-term margin expansion guidance of 10 to 30 basis points. We are adjusting our guidance on long-term net capital expenditures to a range of 2.5% to 3% of revenue. This is because we will not compromise on the quality of our equipment or the safety of our people and we plan to continue making investments in our various existing and future technology platforms. Finally, our improved cash generation should support our M&A strategy, while also allowing us to reduce our leverage to 3.5 times or lower by the end of fiscal 2020. With that, let me turn the call back over to Andrew.
Andrew Masterman: Thank you, John. Turning now to slide 20. I want to close with a few important takeaways from our first full fiscal year as a public company. The strategic initiatives that we began implementing three years ago helped us navigate a very challenging year. In the end, we delivered solid results despite difficult revenue and profitability comparisons with certain episodic events in 2018 and operating disruptions from the unusual weather patterns that we faced throughout 2019. More importantly, the fundamentals of our business and our industry remains strong. As you've heard today, the underlying trends in both of our operating segments reflect those strong fundamentals. The Maintenance segment improved its land organic revenue growth sequentially throughout 2019, turning positive in the second half as well as for the full year. Looking ahead, our net new sales trends in Maintenance remained strong thanks to our growing localized sales team. Our M&A pipeline can only be described as robust, and has delivered a reliable source of growth for three years running with no signs of slowing down. And our Development segment's backlog is as strong as ever. In other words, while it's important to keep in mind that this is a seasonal business, with considerably more activity and earnings in the second half of the fiscal year, the main drivers are in place for BrightView to continue growing faster than the broader industry for years to come. You may have seen in a recent filing that we reorganized the leadership of our Maintenance segment. Jeff Herold was named Chief Operating Officer for Maintenance Services and President of the Seasonal Division within the segment. With Jeff now focused more on the seasonal markets, and our operational excellence efforts. We have added a second senior leader to our evergreen markets, Ed Marcil, who joined BrightView recently after holding several key leadership positions at another leading business services company has been appointed President of the Evergreen West Division and Golf Maintenance. Ed has demonstrated a tremendous passion for BrightView's people and clients, and we look forward to benefiting from his leadership for years to come. And finally, Michael Dozier will continue in his role as President of the Evergreen East Division. His reputation is built on a thorough understanding of our industry, as well as his long-standing and productive client relationships. He will continue to lead his team with a focus on retention and growth. We expect these organizational changes in the Maintenance segment to bring our senior leaders closer to our people and customers, driving more efficiencies in the business and improving our customer relationships over time. We will also continue making investments in technology, to support our operation, our customers, and our leaders, which is why as you already heard from John we are leaving room in our guidance for additional capital expenditures over the next several years. We strongly believe that these tools will allow us to further differentiate ourselves from the competition leading to improved customer satisfaction and ultimately even better financial results. Thanks to the disciplined approach to the execution of our plan, we have outperformed our industry's growth over the last several years, and we have been able to leverage that growth to generate the highest revenue, and adjusted EBITDA that this industry has ever seen for any single company. Thank you for your interest in BrightView and for your attention this morning. We will now open the call for your questions.
Operator: [Operator Instructions] We will take our first question from Judah Sokel with JPMorgan. Your line is now open.
Judah Sokel: Hi, good morning. Thank you for taking my questions.
Andrew Masterman: Good morning, Judah.
Judah Sokel: First question, I wanted to ask was about free cash flow. Last quarter, John you gave the great – very helpful bridge between EBITDA to get us the free cash flow guidance for the year, and I was hoping, you could do the same thing, specifically digging into working capital to understand exactly what's going to – what your assumptions are there?
John Feenan: Yeah. Judah. Good morning. Last call, well, first of all, we define free cash flow, or the definition of free cash flow includes non-recurring items identified in our financial statements. On previous calls, we guided to free cash flow excluding non-recurring items. So, I want to be very clear with everybody, there were approximately $23 million of non-recurring items in our full year 2019 results. So, moving forward for clarity and transparency, we will guide to our defined free cash flow, which gets published in our financials as you know. On our last call, we guided to $140 million of free cash flow, which excluded any of the $23 million of non-recurring, which would have taken that number to $117 million. We reported $87 million, or $30 million less, and that was driven by three reasons. The higher CapEx of approximately $10 million, driven by two things, snow equipment where we made a conscious decision where we wanted to self-perform and reduce our exposure to subcontractors, and also some investments in recent acquisitions a little bit earlier than we had planned. The other piece was approximately $20 million used in working capital around our Development business. The revenue as you know from earlier calls was deferred from the first half into the third quarter, and specifically, the fourth quarter, and because of the paid when paid industry dynamic, we were really very optimistic of collecting and we weren't successful because of that paid when paid dynamic. And the final piece was the $5 million shortfall in our lower EBITDA versus the guidance on the last call.
Judah Sokel: Okay. So if you take the $87 million that you reported and then you add back the one-time as the non-recurring, and then you account for the receivables and the $10 million of extra CapEx, what's the delta between that number and the $100 million to $110 million? Because that would have implied that next year given normal patterns otherwise you would have been maybe above the $100 million to $110 million. So just trying to understand fully maybe, what your working capital exact assumptions are exactly or just anything else that could close that delta. Thank you.
John Feenan: Yeah. No problem, Judah. What I'll do now – again, let me now give you the free cash flow guidance for fiscal 2020. As we alluded to in the call, our adjusted EBITDA range is $312 million to $320 million. We now expect our CapEx to be between 2.5% and 3%, but lower versus 2019, so assume approximately $70 million. Because of our growth, we expect another use in working capital. So we expect approximately $20 million there. We expect our interest to be about the same in fiscal 2020, so approximately $70 million. We're going to pay more in cash taxes, because we benefited this year from some tax planning and some timing's around the refund. But because we will have higher pre-tax, we expect our cash taxes to be around $35 million. Our non-recurring items will mainly be centered around, our continued focus on M&A. So that's about $15 million and that's our defined free cash flow range somewhere in the range of $100 million to $110 million for fiscal 2020.
Operator: Our next question comes from George Tong with Goldman Sachs. Your line is now open.
George Tong: Hi. Thanks. Good morning. Your EBITDA margins came in lower than your expectations on the full-year basis and you cited weather labor inefficiencies and M&A margin dilution as some of the reasons. Can you elaborate on the initiatives you're taking to generate better efficiencies heading into 2020?
John Feenan: Sure. I think – let me start with the fourth quarter George, in the margin compression of 140 basis points. It was really driven by the ancillary inefficiencies. We basically had more labor, more overtime, because we had a lot of late orders that really generated time constraints, and we really want to keep our customers happy. That was the biggest headwind of the 140 basis points. We then had the impact of Hurricane Dorian. We had to move people and equipment around, we wanted to be prepared in case we got hit with that hurricane and that was more of a margin impact as opposed to a revenue impact. But that was the second largest item. And then, we had the slight headwind around recent acquisitions which was lower when we get them. And then as Andrew alluded to, we're building our team. So we had some -- we had some increase of people that we brought on, mainly around business developers and account managers, all of those items offset by the final piece of our Managed Exit. When we think about the guidance and where we're going, we're still confident in targeting our long-term guidance range of 10 to 30 basis points. We expect a similar sequential profile or shape, as we executed in 2019 for both revenue and margin. Second half will be stronger than the first half. That's assuming normal weather. We have investments in retention. We expect to continued tight labor market. But the first half, as you know, is sensitive to the snow business. And we could see better top-line growth and productivity initiatives, which would help on our efficiencies, driven mainly by ETC and more importantly our CRM project. And that's what gives us confidence in that Maintenance organic of 1% to 3%. What could happen, risk-wise? We could have unfavorable weather. It could be either snow or not enough snow, or too much rain. Our enhancement sales penetration and profitability could be lower than we are planning. We've done a good job of getting price increases to offset labor and materials. We could see some risk there. But on an opportunity side, and if those risks don't materialize, we got the maturing sales team; we're working hard to improve our retention. We could get a quicker adoption of CRM. And I think the Maintenance reorg that Andrew talked about, allows our leaders to get closer to our customers and our operations. And we really want to make sure that we can provide guidance that we have high confidence that we can hit. That's really the walk in our guidance in margin for fiscal 2020.
George Tong: Got it. That's helpful. And on the organic revenue side, for next year, you're guiding to 1% to 3%. How do you think about where you would likely land within that range and how Maintenance and Development will shape up next year?
Andrew Masterman: Yeah. As usual, I'll take that one. Actually, what we're seeing out there with our sales force is we're seeing a positive momentum building throughout the organization. You saw that with the results we saw in Q4, a positive organic growth, frankly the best we've seen in our reported time as a public company. We believe, especially, as it gets to the back half of that continued organic build, we'll have a tangible impact in the regions that we operate in, but it's also across -- also our national accounts and golf business as well. We forecast an average level of snow. We're not relying on that necessarily to drive our top line. And we do believe M&A will continue to have a positive impact on our overall revenue profile for the Maintenance business. Development, the answer to your question -- I'm sorry, to answer your question on Development. Development is focused on that 1% to 2% organic revenue growth. The fortunate thing is we're booked strong as we've ever been going into 2020. And we're highly confident we can maintain that same level of growth that we experienced in 2019.
Operator: Our next question comes from Andy Wittmann with Baird. Your line is now open.
Andy Wittmann: Great. Yeah, I guess, I wanted to just dig in a little bit more, excuse me, to the guidance. I think I heard that there's $30 million of wrap from deals that you've already closed in 2019. You've announced two deals here that closed in November. Does that account for the other $30 million of the $60 million, or are there some unidentified acquisitions that factor into the incremental $30 million that come in this year? I just wanted to understand what the underlying acquisitive revenue assumptions are in this guidance. I had also wanted just to check how does -- I think I heard a comment that you assume that flat was -- that snow was flat to maybe slightly negative in the guidance, John, if you could just clarify those couple of things on the revenue guide? 
Andrew Masterman: Okay. Yes. Andrew, this is Andrew talking. When it comes to our M&A, the last two acquisitions or the two acquisitions we announced today of Clean Cut and Heaviland will, obviously, add to our 2020 forecast. And it really helped to satisfy that total $60 million look. It doesn't complete it in total. We have a very diligent robust pipeline that we've built. We feel confident that that's going to fill in relatively quickly within the first two quarters by the end of Q2. We certainly believe we should be able to achieve that. These particular two acquisitions combined with the wraparound, we're kind of in that 70% to 80% of that target in total when we look at the total M&A. Regarding snow and the overall snow, yes, in our guidance right now, we do see a range and that range is slightly -- we're forecasting a slightly lower snowfall than what we experienced last year. If you remember, last year, first quarter was quite low, offset by a really good second quarter. So we see it slightly off of last year, but not dramatically off. The range that we present out there though gives you that ability to feel confident, we're able to execute as we get greater snowfall coming in, should be able to push ourselves well into the range.
Andy Wittmann: Got it, thanks. I guess, my follow-up question was then on kind of the market you're seeing for your people on the labor side. I just noticed here in the filing, that you actually had a pretty good year and your H-2B visas; I guess you commented on that earlier. But as you head into 2020, is that a tough comp on H-2B visas? Are you seeing any moderation or inflections and is it the cost changes of the labor that you're having to pay nationally? And just, can you comment on the pricing environment and any developments or changes that have happened on that side of the equation too?
John Feenan: Hi, Andrew. Good morning. It's John. I'll take that one, on the labor cost trends. The labor market remains very tight. We've been saying that for a while. We expect inflation in that area to be in the 4% to 5% per annum on our composite wage rate. And, as you know, and as we talked about our composite wage rate is about twice the federal minimum rate. And this cost related to recruiting, training, retention, the higher average ranges and quite frankly some lower productivity when we're bringing people in the door. So we expect -- we continue to expect our pricing in our operating efficiencies to offset the wage pressure, which we've been able to do historically. As far as the update on H-2B, the number of H-2B labors, this is a small fraction of our total labor force. We are not dependent on H-2B labor in order to meet our commitments. Also, H-2B labor is not cheap labor. The wage -- we don't set the wages. They are set by the federal government. And despite a tight labor market, we annually hire more than 5,000 people, not inclusive of H-2B as part of our seasonal flex of labor, which usually occurs in the February to April time frame. So we think we have it well managed, and we will continue to focus on that relationship between wage inflation and price.
Operator: Our next question comes from Tim Mulrooney with William Blair. Your line is now open.
Tim Mulrooney: Good morning.
Andrew Masterman: Good morning Tim.
John Feenan: Good morning Tim.
Tim Mulrooney: Hey, on the organic growth within the Maintenance business, that's where I'd like to focus my two questions on. So the first one, you expect 1% to 3% underlying growth in the landscape maintenance business in 2020 I believe. How does that translate to organic growth? Does the 1% to 3% include acquisitions? What about managed exits? What are the other moving pieces here so we can make sure our model reflects your guidance?
Andrew Masterman: Absolutely, Tim. That guidance on the growth is organic, okay? That 1% to 3% is underlying organic growth in the business in the maintenance part of the business. The development side has a 1% to 2% growth. So we believe there is slightly more growth in maintenance than there is in development, but that does not include acquisitions. Acquisitions will be in addition to those numbers. That gives us that range of $2.465 billion to $2.525 billion. That encompasses both organic and inorganic M&A growth.
Tim Mulrooney: Got you. Okay. That was easy. Sticking with the subject. Thinking about the cadence throughout the year, you expect stronger organic growth in the second half of the year Andrew, but that's when the comps get materially more difficult. I just want to make sure that I'm thinking about this the right way that you expect organic growth to be higher in the second half of 2020 expanding sequentially from the first half of 2020. Thank you.
Andrew Masterman: Yes, Tim. That's exactly right. And there are some of the dynamic of the market, okay? In the seasonal markets, green organic growth basically stops in the first and second quarters, because there's nothing to do. So that kind of revenue base dries up. Yeah you have snow, but you don't have green, and so you don't have any either up or down in the contracts in this first and second quarter in the green side of the business. When you start getting into the third and fourth quarter, that's when actually a lot of the landscaping activity picks up, and that's when you're going to see the organic growth layering in. We're positive. We feel really good about the net new sales coming in and the retention where we're seeing out in our overall contracts. Even today as we see the new sales layer in and the renewal of contracts, even in the evergreen markets some of those are as you push out into Q2 and Q3 in the seasonal markets, all of those start in basically the very, very beginning of Q3 and into Q4.
Operator: Our next question comes from Kevin McVeigh with Credit Suisse. Your line is now open.
Kevin McVeigh: Great. Thank you. Just, I guess, going back to that revenue guidance for 2020, if I have the math right, it looks like weather between kind of the hurricanes and snow was about a $27 million headwind in 2019. There was about $35 million of managed exits, so about $62 million. If you layer the acquired revenue as $60 million, it feels like there is kind of $120 million or so that's one-off. But if you look at the guidance like, it would imply kind of the low-end is down year-on-year. Is in fact is that the case and is there any kind of weather and managed exit impact modeled into the 2020 guidance? And if it is like what…?
Andrew Masterman: Absolutely. Let me address that on the weather impact in 2020. We have -- and Managed Exits, the Managed Exits as far as the initiative that we started last year and for the end of the prior year, we don't manage -- we don't have any of that built into the guidance for 2020 with the exception of a very small tail that we previously discussed in Q1 of a couple of million dollars. But other than that in Managed Exits there is nothing in 2020 around that. The only other thing on the revenue side which would be weather specifically weather would be -- as we previously talked about briefly was snow that we are forecasting a slightly lower snow number in the revenue guidance, but that's somewhere between $10 million to $20 million range. So that would be the only weather-related forecast we're putting on the revenue side.
Kevin McVeigh: Got it. And then, how much of the snow removal? How much of that is subcontracted? And then what's the margin to kind of the subcontracted versus in-house? Obviously, it seems like you're making a strategic shift there to take more that in-house given the CapEx?
Andrew Masterman: Yeah. And it really -- it all depends on the degree of snow of what's subcontracted versus what's not subcontracted. So what we're doing is we're preparing ourselves to shift more and more to self-perform at smaller levels. However, if you have very significant snow storms that come in that is where the unpredictability of the actual underlying snow business comes and why we use subcontractors, because let's say, it's snowed a foot or two feet at one time, we have to get out there and service all the properties. We've said we have to have a portion of self-perform and a portion of sub to both attack that or to support that at all the properties, it's when it's in the smaller level of the slighter snowfalls that we actually then are transitioning more and more toward that self-perform model that we think is how we really support our customers in a tighter and closer customer intimacy.
Operator: Our next question comes from Seth Weber with RBC. Your line is now open.
Gunnar Hansen: Hey, good morning, guys. This is going to Gunnar Hansen on for Seth.
Andrew Masterman: Hey, Gunnar.
Gunnar Hansen: I guess I'll take one last cut at the guidance and particularly on the Maintenance side. So the 1% to 3% includes the expected decline in snowfall that is the message?
John Feenan: Yeah. No the 1% to 3% is only on the green side of the non-snow business. So, that 1% to 3% is actual growth in our underlying business that we feel quite confident about. The snow is kind of a separate -- we treat that and we disclose overall snow performance on the revenue side and so that snow -- that $10 million to $20 million shortfall depending on snowfall that's a separate -- that's away from the organic growth.
Gunnar Hansen: Right. Okay. That's fair. And so I guess just to follow up on that, I mean you guys ended the fourth quarter with Maintenance green kind of being at 1.9% as you highlighted the underlying growth. It strikes to me that there's a lot of momentum in especially some of the commentary around premium retentions and getting closer to customers as well as some of the business development hires. I mean, how should we expect the cadence of that throughout 2020 if you're kind of exiting this fourth quarter at nearly 2%? I mean what are the puts and takes between the range of 1% to 3% that you guys provided that would help us kind of understand how that all plays out?
Andrew Masterman: Absolutely. What happens in the business, even though contracts get struck sometimes here in the first -- our first quarter and in the second quarter, the business doesn't actually start until you start seeing growth happening in landscaping as spring emerges. So, I think it's a very similar profile to how you looked at this year in -- that's where really growth doesn't start occurring even in evergreen markets in a big way until spring starts coming in strong. So similar to this year, where you saw -- where you saw growth really starting to emerge if you looked at the four quarters in 2019, we showed an underlying shrinkage in Q1 and Q2 and then growth happened in Q3 and Q4. We expect that similar level of pattern going into 2020.
Operator: [Operator Instructions] Our next question comes from Sam England with Berenberg. Your line is now open.
Sam England: Good morning, guys. First one for me was just, can you give us an idea of the tail-off in managed exits next year and is that something you'd stop disclosing at some point?
Andrew Masterman: Yeah. Absolutely, Sam. This is Andrew speaking. On managed exits, we basically in the Q for disclosure we talked about our managed exits that's really the end of the major part of the program. In 2020, we expect a small tail to happen in Q1 small tail if we've called it out as a couple of million dollars and that's it. We will always be looking at our account portfolio. We're always going to be examining our customer layout and our customer composition, but as far as this specific identified initiative we've concluded that.
Sam England: Okay, great. And could you just give us an idea of the timeline for improving the margins in the acquired businesses this year that you said was sort of a headwind to margins this quarter?
John Feenan: Absolutely. As we highlighted in the M&A, the example used in Groundskeeper, once we get a hold of the acquisition we get into it, it usually take somewhere between 12 to 18 months, sometimes as long as 24 months to really achieve that. It all depends on the size and scale of the acquisition. In The Groundskeeper example, we've -- it was about 18 months ago that we bought Groundskeeper and we have seen that 300 bps improvement over the course of those 18 months. It's a great management team. They've embraced the processes and procedures that we put in front of them and they've really delivered throughout the entire Groundskeeper acquisition. Great team, great results. We are implementing ETC now at Groundskeeper. We feel that's going to continue to be able to fuel even further improvements in that acquisition and we'd expect to see those kinds of improvements layering in again in that 12 to 24-month time period after we have -- after we conclude the acquisition.
Operator: At this time, we have no more questions. So, I'd now like to turn the call back over to Mr. Masterman for closing remarks.
Andrew Masterman: Thank you, Lindsey. Once again, I want to thank everyone for participating in the call today and for your interest in BrightView. We look forward to speaking with you when we report our first quarter of fiscal 2020 results in early February. Have a great and happy holiday season.
Operator: This concludes today's conference call. You may now disconnect.